Operator: Welcome to this Orsted interim report for the first quarter of 2023. For the first part of this call, all participants will be in listen-only-mode, and afterwards, there will be a question-and-answer session. Today's speaker is Group President and CEO; Mads Nipper and CFO, Daniel Lerupp. Speakers, please begin.
Mads Nipper: Thank you very much, and welcome to this call. I'm very pleased with the financial results of the first quarter. In the quarter, we realized all-time high earnings from our offshore sites and the group's financial performance was in line with our expectations. During the first quarter, we made good progress on our strategy, and I'll start with highlighting the final investment decision for our 920-megawatt Taiwanese project, Greater Changhua 2b and 4. I'm extremely proud of this achievement, which once again demonstrates the fact that Orsted is primed and ready to build and operate large-scale offshore wind projects in Taiwan. Our experience in Asia Pacific, combined with our technical expertise, financial capabilities and close collaboration with stakeholders form a robust business case which will create long-term value. The grid capacity of the project was awarded back in June 2018 in Taiwan's first competitive price-based auction with no mandatory local content requirements.  We subsequently signed a long-term corporate power purchase agreement with TSMC, which is the largest ever contract of its kind in renewable energy. We expect to complete the project by the end of 2025 and will bring our installed capacity in Taiwan to almost 2 gigawatts of renewable capacity. In the U.S., we submitted a joint proposal in response to Rhode Island's offshore wind solicitation together with our partner Eversource. Our proposal reflects the current macroeconomic development and cost inflation and is linked to inflation. Our 884 megawatt Revolution Wind 2 project was the sole response to the solicitation and we are currently awaiting the outcome of Rhode Island's evaluation, which is expected in June. In March, our Scottish 100 megawatt floating offshore project, Salamander, won a floating wind lease. The project is a joint venture between us, the Simply Blue Group and Subsea 7 and is a tangible step to make floating wind a reality. The project will provide Scotland and its supply chain with an early opportunity to speed up the commercialization of floating offshore wind ahead of the larger scale ScotWind build-out.  Salamander is currently undergoing an environmental impact assessment and has a grid connection agreement with National Grid to enable the project to be delivered before 2030 and contribute to the U.K.'s 5-gigawatt floating wind target. This award comes a year after we successfully secured the 1 gigawatt trauma floating lease in the ScotWind leasing round and marks another major milestone in pursuit of our global floating wind strategy. Alongside our Stromar project, the payer form a complementary floating offshore wind development portfolio in Scotland. Additionally, we have signed a memorandum of understanding with the Infrastructure division of ACCIONA, who is a leading designer of innovative floating wind foundation and fabrication solutions. The aim of the strategic partnership is to take floating wind from the innovation to the industrialization stage. Last year, we joined forces with Repsol to develop floating offshore wind projects in Spain and with Spain being a key market of interest to us, Orsted intends to further grow our European floating pipeline.  Advancing floating wind technology and bringing it to market is a key strategic game for us as floating wind program and supply chain partnerships is the way to do just that. In our U.S. onshore business, we signed a 15-year corporate PPA with Google, who will offtake 150-megawatt renewable energy from the 268 megawatt onshore project, Helena. This agreement comes in addition to the corporate PPA we signed with Google on our Borkum Riffgrund 3 offshore wind project in Germany. In Ireland, we acquired the 160-megawatt solar PV development project, Garrenleen. This will be our second solar project in Ireland and the acquisition brings further momentum to our Iris onshore presence, which will bring total capacity to around 500 megawatt once commissioned. Over the last quarter, Europe has delivered on many of its promises from the Fit for 55 package, such as obligations imposed to the hard to electrify sectors through the introduction of binding targets for green hydrogen of 42% by 2030 in industry and transport through the RED or Renewable Energy Direct to 3 and mandates for e-fuels in shipping and aviation through fuel EU setting a target of 1% to 2% renewable fuels of nonbiological origin in shipping by 2030.  These and other targets commenced already from 2025, stepping up to 2030 and beyond and provide the necessary clarity for us to continue to develop our European pipeline in the expectation of future offtake demand. Finally, we submitted a bid for the Danish Energy Agency for our carbon capture and storage project, Kuala Lumpur Hub. This project can capture approximately 400,000 tonnes of biogenic CO2 annually from our [indiscernible] CHP plants. If successful, the project will be a significant contribution to realizing the Danish state climate target for 2025 and 2030. The proposed project has a strong business case that would increase the value creating from our CHP plants and bring learnings that can be leveraged within our P2X development. Moving to Slide 4 and the outlook for offshore wind auctions in 2023. The cumulative European targets for offshore wind to be installed by 2030 have since September of 2021, increased from 58 gigawatts to close to 150 gigawatts. Looking further ahead, policymakers in Europe have acknowledged offshore wind as a key solution to reach net zero as is also shown by several studies assessing the need to deliver 400 to 450 gigawatts by 2050. Back in April, I joined the meeting in Ostend in Belgium, together with heads of state and Climate ministers from 9 European North Sea countries as well as CEOs from companies critical to the offshore wind industry. The ambition for offshore wind build-out in the North Sea is now 130 gigawatts by 2030 and 300 gigawatts by 2050, which has the potential to make the North Sea the biggest green power plant in the world. Taken together, these targets offer an unprecedented growth and investment opportunity for the industry. But the path towards this, turning these ambitions into reality remain challenging and takes and never seen before collaboration between industry, organizations and governance. Throughout 2023, we see numerous auctions and tenders across all 3 regions where we are present, adding up to more than 25 gigawatts.  Denmark has dialed up their ambitions within offshore wind and has politically agreed to launch a solicitation of 9 gigawatts this year with the possibility of over planting as well as additional opportunities within the open door regime. This is a very strong ambition, and we very much welcome that governments are tendering out as much capacity as possible as soon as possible. Unlocking market volumes and creating an enabling environment for offshore wind development can build confidence, help the industry overcome its investment and pass and enable the supply chain to invest in necessary manufacturing capacity. Based on the latest suggestion from the Danish government, they intend to work with the EU Commission on a modification of the open door model, which will hopefully enable such projects to progress forward. And just yesterday, Massachusetts increased their ambition for the next offshore wind auction to up to 3.6 gigawatts from the previous RFP, which sought approximately 1.6 gigawatts.  To account for challenges driven by inflation and other macroeconomic trends, the draft RFP allows bidders to submit an alternative indexed pricing proposal intended to reduce risk for bidders and ratepayers. In response to New York State's third round of offshore wind solicitations, we have submitted a proposal, which includes multiple bids with different configurations. As mentioned earlier, we also submitted an 884 megawatt proposal to Rhode Island's offshore wind solicitation. And for both auctions, we expect the outcome to be announced around summer. Underpinned by strong offshore wind fundamentals and supported by the recent introduction of Australia's offshore electricity Infrastructure Act, Australia has kickstarted the road towards the long-term and thriving offshore wind market. As the world's leading offshore wind developer, we have submitted feasibility license applications for seabed off Victoria, targeting areas which speak to our technical capabilities and expertise in delivering more gigawatt plus offshore wind farms than anyone else. We enter this market with the aim to help Australia unlock its potential for generating clean energy with a strong focus on economic and regional development, working closely with government and local communities with whom we have been establishing meaningful relationships on the ground.  With our global presence, we are uniquely positioned to assess the opportunities across technologies in existing and new markets while continuing our strong focus on value creation and financial discipline when bidding into auctions and tenders. Let's turn to Slide 5, where I will update you on our offshore projects under construction as well as our awarded pipeline. Our Greater Changhua 1 and 2a project is progressing according to plan with 97 out of 111 turbines being installed and by now 25 of them fully commissioned. The cable and wind turbine scopes are progressing as planned, and we still expect to commission the wind farm in second half of this year. The construction of our Gode Wind 3 and Borkum Riffgrund 3 offshore wind farms is progressing according to plan, and we expect commissioning in 2024 and 2025, respectively. At New York's first offshore wind farm Southfork, the team has successfully installed the sea to shore transmission and begun laying the export cable. We have commenced offshore construction and the 130-megawatt project is expected to be commissioned in second half of the year according to the original time line.  As mentioned earlier, we took final investment decision on Greater Changhua 2B and 4 end of March. I'm very much looking forward to getting construction started and apply the learnings from our global EPC capabilities and not least the adjacent Greater Changhua 1 and 2a wind farms. The Taiwanese ID brings our total installed and under construction capacity to more than 20 gigawatts across technologies. In our onshore business, we are constructing the 201-megawatt Sunflower wind project, along with our projects in Germany, France, Ireland and the U.K. Additionally, we are constructing the combined solar PV and storage plant Eleven Mile as well as the solar farm Mockingbird. We have had issues getting modules delivered for our solar project, Helena Energy Center due to the Uyghur Forced Labor Protection Act detentions. Modules are in production and deliveries are scheduled to begin this month and continue throughout the year. And as a result of these continued import challenges, we expect the project to be fully commissioned by 2024.  In the U.S., we are still awaiting final guidance from the treasury department on how to qualify for the domestic content credit that would raise the ITC value to 40%. While we can't predict precisely what will be published, we know it's a priority for the White House, and we hope to have more clarity in the coming weeks or maybe months. The State of Maryland recently passed the Power Act with Governor Moore signing the historical legislation at our very own inauguration event at Maryland's first offshore wind turbine component center at Tradepoint Atlantic. The bill will increase the state's offshore wind energy target from approximately 2 gigawatts to 8.5 gigawatt by 2031, and it aims to accelerate the build-out of the American offshore wind industry by unlocking the benefits of the IRA federal tax incentives to be used as intended by Congress. Specifically, the state of Maryland currently has an 80/20 requirement that allows 20% of the state and federal tax incentive to go to developers. The Power Act establishes a process for developers to apply for a waiver through the PSC to retain the full value of IRA-related tax incentives. We are encouraged by the actions from the state of Maryland, which are important steps to unlock the state's potential for offshore wind build-out. We believe it is encouraging to see the U.S. states taking important steps to support offshore wind in the face of macroeconomic challenges.  In Poland, we have signed an agreement with Siemens Gamesa for the supply of 107 14-megawatt turbines for the Baltica 2 offshore wind project with a total capacity of 1.5 gigawatts. By the time of commissioning, Baltica 2 will be Poland's largest ever renewable energy projects and capable of producing enough green energy to cover the power consumption of 2.4 million Polish households. The wind farm is expected to commission by the end of 2027. Despite the macroeconomic challenges and general cost inflation, the project holds a strong value creation. The turbine signing marks an important milestone for the project that will be pioneering the offshore wind industry in Poland. And I wish to thank our partner, PGE and the Polish government for their support in making this possible. In response to the current inflationary challenges, we have decided to pursue a reconfiguration of the 1 gigawatt Baltica 3 project, which was previously planned to be commissioned in 2026. Through the reconfiguration, we look to further improve the business case of the project through a reduction of the LCOE. By utilizing the flexibility of project delivery, we will, among others, revisit and optimize technology, installation methods, logistics and procurement for Baltica 3. And subject to final investment decisions, Orsted and PGE expect to complete the construction of the Baltica 3 no later than by the end of 2029 in accordance with the CFD contract. By that time, the joint 2.5 gigawatt offshore wind capacity from Baltica 2 and 3 offshore wind farms will contribute significantly to Poland's green energy transition. With regards to Hornsea 3 in the U.K., we remain firmly committed to doing all we can to reach final investment decision before year-end. The project benefits from its size and its location east of Hornsea 1 and 2, and we are continuing to work on all the levers available to strengthen the value creation of the project with an aim to greenlight Hornsea 3 in 2023. And with this, let me hand over the financials to you, Daniel.
Daniel Lerup: Thank you Mads, and good afternoon, everyone. Let me start with Slide 6 and the EBITDA for the first quarter of 2023. For the group, we realized a total EBITDA of DKK6.9 billion. I'm very pleased with the development in the earnings from our offshore business that once again has become our key earnings driver and delivered record high quarterly earnings. Compared to Q1 2022, we did not have any gains from new partnerships. We also saw significantly lower energy prices in Q1 2023, leading to significantly lower earnings within our Bioenergy business. Let me walk you through the key developments in our EBITDA. In offshore, wind speeds were marginally below the normal level for the first quarter and below the level for Q1 last year, leading to a negative impact of around DKK0.3 billion compared to last year. For the quarter, we had positive impact from hedges of DKK2.1 billion. This was mainly driven by the negative effects from delayed ramp-up at Hornsea 2 in Q1 2022, which amounted to DKK1.6 billion and was not repeated for Q1 2023.  Further, we saw a positive impact of DKK0.5 billion from a partial reversal of the ineffective IFRS 9 hedges that had a negative impact in 2022. For the remaining part of our offshore sites, earnings increased by DKK0.3 billion, mainly due to ramp-up generation from Hornsea 2 and Greater Changhua 1 & 2a. The earnings from ramp-up generation increased DKK0.8 billion and were partly offset by a negative impact from our merchant exposure after having lowered our hedge ratios for Q1 2023 at a time when prices were higher than the realized levels in the quarter. The subsequent decline in power prices led to a negative earnings impact of around DKK0.5 billion. We did not realize any material earnings from existing partnerships during the quarter. Last year, we realized DKK1.1 billion primarily related to earnings from the construction progress at Greater Changhua 1 and the partial reversal of the cable protection system provision booked in 2021.  Turning to onshore, where earnings were in line with Q1 2022. Compared to last year, we have expanded our operating portfolio, leading to an increase in power generation of 17%. However, the higher generation was offset by lower power prices. In Bioenergy and other earnings decreased by DKK2 billion compared to last year. The decrease was expected and was driven by the significantly lower power prices and less volatility in the gas price during the first quarter of 2023 compared to last year. Let's continue to Slide 7. For Q1 2023, net profit totaled DKK3.2 billion. Compared to Q1 2022, we did not complete any farm downs. And besides the lower EBITDA, we saw higher depreciation due to more assets in operation and higher financial expenses, driven by negative impact from exchange rate adjustments and higher interest expenses on loans. Our return on capital employed came in at 13.8%, which was a decrease compared to last year, driven by a lower EBIT over the 12-month period and higher capital employed.  However, we remain on track to deliver on our long-term financial guidance of achieving average return on capital employed of 11% to 12% towards 2027. Throughout the first quarter of 2023, we saw a further increase in our equity, ending the quarter at DKK12.8 billion. The increase was driven by a combination of hedges going into delivery as well as the lower power prices. Let's turn to Slide 8 and our net interest-bearing debt and credit metric. Net debt amounted to DKK35.3 billion, an increase of DKK4.7 billion during the quarter. Our cash flow from operating activities was positively impacted by EBITDA and the net cash inflow from collateral postings amounted to DKK3.3 billion, which was driven by the reduction in forward power prices. By the end of the first quarter, we have posted a total of DKK9.6 billion in collateral payments related to our energy hedges. Based on the current forward curves, we expect around DKK4 billion of collateral to unwind by the end of 2023. For the quarter, our gross investments totaled DKK8.8 trillion, primarily driven by our investments into construction of renewable projects.  In addition, we paid out dividend of DKK5.7 billion to our shareholders relating to the financial year of 2022. Our key metric, FFO to adjusted net debt stood at 37%. The level was in line with last year as the higher net debt was offset by higher FFO for the 12-month period. Our increasing operational earnings from the renewable build-out as well as funds from our partnership model will support the capital requirements in the coming years, and we remain committed to our targeted FFO to adjusted net debt of 25%. Turning to Slide 9 and our nonfinancial ratios. For the first quarter of 2023, our taxonomy-eligible metrics are in line with expectations. Green share of energy came in at 89% compared to 92% last year. The development was primarily due to the temporary increase in use of coal at power station after a fire in the wood pellet silo in September last year. However, our strong effort from our colleagues in Bioenergy has enabled that we, since April, have resumed the sustainable biomass-based generation for most hours of the day.  On safety, we regrettably do not see a performance, which lives up to our expected standards at this time of the year. We have seen more recordable injuries with our contractors, partly offset by a minor reduction in recordable injuries for our own employees. We continuously work to improve and promote our culture of safety. We have implemented several initiatives such as increased leadership involvement, safety standdowns and targeted safety campaigns on specific issues. Finally, let's turn to Slide 10 and our outlook for 2023. With financials in the first quarter developing in line with our expectations, we reiterate our full year EBITDA guidance of DKK20 billion to DKK23 billion for 2023 as well as our gross investment guidance of DKK50 million to DKK54 billion. Before we open up for questions, let me quickly go to Slide 11. I'm happy to share that registration for our Capital Markets Day has now opened. Since our last CMD 2 years ago, there have been numerous significant developments, including fundamental changes to the energy market, challenging macroeconomic and inflationary development and an unprecedented political tailwind for the green transition. Therefore, we want to take the opportunity on June 8 to give a strategic update on our business development and financial targets. Additionally, you will have the opportunity to meet new members of the group executive team. With that, we will now open for questions. Operator, please.
Operator: Thank you. This concludes the presentation, and we will now open up for questions. This call will have to end no later than half past 3:00. Please respect only one question per participant, and then you can reenter the queue for another question. [Operator Instructions] We'll have a brief pause while questions are being registered. The first question will be from the line of Kristian Johansen from SEB. Please go ahead. Your line will be unmuted.
Kristian Johansen: Thank you. So my question is regarding the U.S. business and the tax credit you talked about, are you waiting for the guidance on the domestic content. As I understand it, we do have the guidance on the energy part where if you have an auto impact, the unstock conversate need to be located in energy community. So just curious if you can share any light on your U.S. portfolio and whether there is any option to capture this additional 10% related to the energy communities any of your project?
Mads Nipper: Thanks a lot Kristian. And yes, you're absolutely right that the guidance on energy communities from the treasury has come out, and we are actively looking into that, which, if any of our projects can qualify for that. That needs to be a quite thorough assessment. So we are not ready to share specifically as to whether any of them can be, but we are working on it and hope to be able to share that soon. Thank you.
Operator: The next question will be from the line of Alberto Gandolfi from Goldman Sachs. Please go ahead. Your line will be unmuted.
Alberto Gandolfi: Thank you, and good afternoon. Also sticking to one, I hope I'm not repeating too much of the first question, the line on my end was quite disturbed, but I believe it's not. So I wanted to go back, please if you don't mind to Slide 5. Looking particularly on the right-hand side, what is not under construction yet. If we exclude Sunrise for which you already took an impairment, would it be possible to tell us roughly what share of these projects is within 150, 300 basis point today? And what share of this project would be within 150, 300 bps if you start to receive extra investment tax credits like the proposal from Maryland. And if you can share some light on that will be awesome. So this is my question. I hope you don't mind me pointing out an observation, which is really a bit unconventional, but I just wanted to point out on Page 8, you seem to be quite well ahead on your FFO to net debt threshold. This is just to -- I'm not input bad, but just to point out quite a widespread conversation out there regarding your potential needing for a capital injection. But again, my question was the first one. Thank you so much.
Mads Nipper: Yes. Thank you very much, Alberto. And we cannot share specifically what is sort of where these different projects are placed. But what we said at the last quarter is that even though we do not -- these projects are not generally not meeting our return guidance we do still see that the near-term U.S. offshore portfolio is so essentially the Northeast cluster and mid-Atlantic cluster or that Ocean Wind 1 are still value creating as a portfolio on a life cycle basis. And then all projects are positive on a forward-looking basis. That is as close as we can get it.
Daniel Lerup: And just on the capital structure point. I very much agree. We have a nice headroom in our capital structure compared to our target. So we are in a very good position to deliver on our ambitions of the roughly 50 gigawatt of installed capacity in 2030 without having to raise additional equity. So it's a self-funded scenario.
Alberto Gandolfi: Thank you so much.
Operator: Thank you Alberto. The next question will be from the line of Peter Bisztyga from Bank of America. Please go ahead. Your line will be unmuted.
Peter Bisztyga: Thanks for taking my question. So on the U.S., my understanding is that New York has asked participants to resubmit this to reflect the benefits from the Inflation Reduction Act. So I'm wondering do you plan to do that? And also, do you see a risk that the Rhodes Island auction is canceled or that they ask you to recently be the 3. Thank you.
Mads Nipper: I unfortunately only heard the last part of your question, Peter, can you..
Peter Bisztyga: On New York, it is correct that some of the other bidders had to resubmit as their bids were noncompliant. And our understanding is more that it's relating to the local content requirements and not so much how they've looked at tax credits.
Mads Nipper: And on the Rhode Island bit, yes, as we said, we are the only bidder, and we are -- we hope and believe, of course, that we will be awarded. But we are not at this point, we are not guessing as to whether there is a risk for that to be resolicited as because they want more bidders. But we are hopeful and believe there's a good chance that we could be awarded.
Peter Bisztyga: Okay. Thank you. And so just to clarify on New York. So you bid was compliant and there's no need for to recent. Correct?
Mads Nipper: Correct.
Peter Bisztyga: Great. Thank you.
Operator: Thank you, Peter. [Operator Instructions] The next question will be from the line of Casper Blom from Danske Bank. Please go ahead. Your line will be unmuted.
Casper Blom: Thank you very much. Following up a bit on Rhode Island. I was hoping if you could talk a little more broadly about the competitive situation right now. I think we have seen some other developers also complaining a bit about the profitability in certain projects. You've also been hit, obviously, in the U.S. But what are you seeing right now on the competitive scene? Are you -- are we there now where competition is starting to be a little bit more selective and where, hopefully, this race to the bottom is starting to end. Thank you.
Mads Nipper: Thanks a lot, Casper. Yes. We believe that generally, we are operating in an industry which is clearly realizing that the condition has changed both in terms of cost of capital and also the CapEx inflation. And that means that what as we reiterated when I talked briefly about the bids we have submitted in New York and Rhode Island, those bits and the price levels we have submitted clearly take into consideration the new conditions. And we hear also I mean there has been some recent conventions, both in Belgium and Wind Europe in Copenhagen. We hear the industry voicing that there is clearly a need for this industry to create sustained value. And we believe we hear that quite consistently. So we remain optimistic that even though competition will surely continue to be there and be intense that there's a general realization that it needs to be financially same, which is another way of saying that the competition on price will have a good chance of avoiding that race to the bottom.
Daniel Lerup: And maybe if I can add. So it is our clear expectation that we will see prices go up in the coming auctions. And on top of that, we're also seeing a quite significant increase of the capacity being auctioned out in the upcoming auctions across our key markets in Europe and the U.S., meaning that, that should, of course, also ease some of the competitive tension.
Casper Blom: Thank you very much. Think it was close to that.
Operator: Thank you, Casper. The next question will be from the line of Harry Wyburd from Exane. Please go ahead. Your line will be unmuted.
Harry Wyburd: Hi everyone, thanks for taking my question. On write-downs. Can I ask, did you do an impairment test at the first quarter? And if not, when would the next impairment test be? And looking at the various moving parts on impairment tests, obviously, rates been quite volatile. Power prices have moved down since you reported full year results. I guess you've had the news in Maryland. Can you just discuss a little bit about how the inputs into your impairment calculations have moved since you last updated us? Thank you very much.
Daniel Lerup: So we do an impairment test every quarter. So we have updated all of the relevant business cases with the most up-to-date input parameters, cost rates, inflation and so on, and we don't see an impairment issue.
Harry Wyburd: Okay. Thank you. Any chance you could give us some directional view on where things have moved...
Daniel Lerup: Too specific and also parameters that we are using in our bids.
Harry Wyburd: Okay. Fair enough. Thank you.
Operator: Thank you Harry. The next question will be from the line of Lars Heindorff from Nordea. Please go ahead. Your line will be unmuted.
Lars Heindorff: Yeah. Thank you for taking my question. Also regarding the U.S., I think you had around about EUR 68 billion of U.S. assets by the end of last year. I assume that most of those are related to the onshore parks that you have. I don't know if you can give us a split between how much of that intangible and tangible assets are related to offshore? And how much is related to onshore, just to give a sense for how much CapEx you have deployed into those projects that you are in the progress of developing?
Daniel Lerup: I cannot give you a specific split, but the vast majority comes from our onshore business of the capital that we have deployed.
Lars Heindorff: Okay. Thank you.
Operator: Thank you Lars. The next question will be from the line of Sam Arie from UBS. Please go ahead. Your line will be unmuted.
Samuel Arie: Hi everyone, thanks for that as always for the presentation. Maybe I could just ask a question about the CMD event coming up. And I'm not expecting you to kind of reveal the headlines at this point. But I suppose in past CMDs, there's been a lot of focus on your sort of midterm targets and the total megawatts or gigawatts to be built, appears to me, at this point, they probably raising the gigawatt target is probably not where your heads are. And so the CMD might focus more naturally on profitability, return expectations, funding and so on. Is that a good expectation to have for the event? Or can you give us any more flavor about kind of what you're going to share with us if not the actual headlines at this time. Thank you.
Mads Nipper: Thanks, Sam. It's hard to answer without starting to go into the expected CMD content. But let me just say that there's no doubt that the current market circumstances puts a lot of focus on value creation, which we would ensure to address at the CMD.
Daniel Lerup: And also, I think it's a misconception that we've ever been driven by just having high gigawatt numbers out there. We've always been a financially disciplined company, and we also set quite high return expectations to the projects that we bid into with quite conservative assumptions and also a conservative spread to walk. So we always like to talk about value creation.
Samuel Arie: Okay. Very clear. I mean maybe if you forgive me, just a short follow-up. But I mean, is it also safe just been that the CMD will really be setting out continuity of strategy and you'll be filling in gaps worth and helping us understand how you make the project profitable and so on? Or are there any sort of big strategic questions that you're planning to tackle at the end.
Mads Nipper: I think we'd rather hold that suspense until June 8, Sam.
Samuel Arie: Okay. All right. Fair enough. But thank you very much. Appreciate the answer.
Operator: Thank you, Sam. The next question will be from the line of Deepa Venkateswaran from Bernstein. Please go ahead. Your line will be unmuted.
Deepa Venkateswaran: Thank you for my question, and thanks for actually answering the previous question on CMD. So my question was actually on Hornsea 3. I think Daniel earlier, you spoke to journalists and you commented that AR4 is looking very challenging. But obviously, you still stated on that call. And also, I think Mads repeated on this call that you're looking to work on the FID for Hornsea 3, where obviously, the strike price was also low. So is there a disconnect here? Or is the size and scale of Hornsea 3 as well as any cost you've already locked in, maybe the difference? Could you just elaborate a bit on your thinking here?
Daniel Lerup: Second question, and then maybe I can answer the first one. So my point when talking with the journalist earlier is that we keep seeing delays in the permits of our U.K. projects. We've seen it on Hornsea 3 previously, and now we're also seeing it on Hornsea 4, which is of course, a challenge with these very big projects. And we're also seeing a very low administrative strike price in the next auction round, again, with a price going down, not taking into consideration the environment that we are in. So we are of course, hoping that there will be a better recognition of the environment that we are in, so that we can meet the fair meaningful return thresholds that we are looking for. And then maybe if you could repeat the question on Hornsea 3?
Deepa Venkateswaran: Yes. I was just wondering because the administrative strike price for AR5 at 44% is higher than what you got for Hornsea 3. So when you're saying that you're working towards the FID, I just wanted to address that disconnect between your comments on the low strike price for AR5 versus the Hornsea 3 FID? And does the scale and the siting of this project or anything else make a difference?
Mads Nipper: I mean we can certainly comment on that. We generally believe that what has happened in the industry now means that there needs to be a -- there needs to be an increase in the LCE or there is an increase in the LCE, which means that an administrative strike price of 44 is something that we think is not sustainable. The scale of Hornsea 3, combined with the synergies we have combined with the levers that we continue to work on towards an FID is something that we remain committed to working on, but for future solicitations. And we are not -- for the sake of clarity, we are not participating in AR5, but for future solicitations, we are saying that so clearly because we believe the British government needs to realize that the administrative strike price must go up. But we keep -- we continue to work towards an FID, but we will only take that FID for Hornsea 3 if we end up feeling comfortable with the value creation.
Deepa Venkateswaran: Okay, thank you.
Operator: Thank you Deepa. The next question will be from the line of Rob Pulleyn from Morgan Stanley. Please go ahead. Your line will be unmuted.
Robert Pulleyn: Hi, thank you and good afternoon everyone. A quick question on portfolio benefit of not only the rising value of flexible generation. I see the CHP plants also performed quite well again in the quarter. But also maybe if you could talk about how you think between offshore and onshore and thermal, given I think 99% of the focus here is on offshore. Onshore is, of course, a quicker lead time to cash delivery. And the thermal business has actually performed very well, of course, consistent with what many of your peers have done as well. If you could maybe shed a little bit light about the portfolio between the three divisions, just for the sake of a variety and not to preempt the CMD too much, that would be appreciative. Thank you.
Daniel Lerup: Yes. So we are of course, in a situation now where we are seeing that the earnings mix across our business is much more in line with our expectations, having offshore representing roughly 80% of our earnings. And that was, of course, a different picture last year given the very big volatility and very high power prices benefiting our Danish CHPs and the gas business. I think going forward, it will be more a matter of the growth expectations within both the offshore and the onshore business. And as you know, we are not investing more into the two biomass. So power prices will be the key determining factor for how the earnings will develop in our days CHPs.
Mads Nipper: And if I can briefly add, Rob, what we saw last year was obviously that in light of the challenges we ran into with our risk management approach, the CHPs and our gas business fully compensated for that, which turned out to be sort of a very natural hedge. We continue to see that PPA levels and also then now with the PTC extension in the U.S. for onshore makes that a stable and predictable income and attractive spreads. And at the same time, now that we are seeing that our -- that the predictability of our offshore business, which in the first quarter was exactly as we had hoped and wanted it to be, that we are returning to that predictability. We actually think that now with also a lower hedge level, then volatile power prices can be an additional upside in our power plants, whereas last year, they presented an equal downside due to the very high hedge levels. But as they work down volatile and increasing power prices will present a net upside. So that's an additional flavor to what Daniel said.
Robert Pulleyn: Thanks very much.
Operator: Thank you Rob. The next question will be from the line of Mark Freshney from Credit Suisse. Please go ahead. Your line will be unmuted.
Mark Freshney: Thank you for taking my question. Just on the remaining farm downs to be done, which is Hornsea 3, New Jersey and Taiwan, and I think there's a couple of blocks in Taiwan. Can you talk about the potential phasing of when those farm downs may occur? And further to that, one thing is the return that you're prepared to take on new projects when you FID when you put it through your investment committee, but the other side is what some of your partners prepared to take, which I believe has historically been somewhat lower. Can we expect those farm downs to generate large gains. Thank you.
Daniel Lerup: Thank you, Mark. And we are still very confident in our farm-down model. It has served us well for more than a decade, and we continue to see it as a key source of funding and also unlocking of value going forward. And we are usually active in the market with a number of farm down at the same time, and we are also in the market right now with the carbon, and we see good interest, and we feel confident that we will get a price for the farm downs that is in line with what we have seen historically of an NPV retention of around 100%. So you should definitely expect gains from farm downs also going forward.
Mark Freshney: And just on that, you said you're in the market with a couple. Presumably, that would be Gode 3 and 4 and Greater Changhua? And when would we be able to expect that to be announced this year at some point?
Daniel Lerup: I don't want to comment on the timing on such transactions that can, of course, be a bit uncertain. But you are right. We are focusing on our Taiwanese and German projects. And we are also looking into some of our onshore assets in the U.S. As you might remember, we did a successful farm down last year of a portfolio of U.S. onshore projects where we also got an NPV retention of roughly 100%. So we are looking into continuing that farm-down model also for the onshore business. So quite a lot of activity and good indications from the market. Thank you.
Operator: Thank you, Mark. The next question will be from the line of Dominic Nash from Barclays. Please go ahead. Your line will be unmuted.
Dominic Nash: Good afternoon. A question for me, please, on both the Hornsea 3 and the U.S. wind farms. And the question I get asked quite sort of regular mind getting some clarity on this. In the worst case situation, where the returns on those do fall below the returns that you would like to have, what are the implications and what ramifications are there if you were to actually walk away or try to renege on the existing contracts and trying to get them sort of rebidded into future contracts. What's the actual impact on if you do that, please. Thank you.
Mads Nipper: Yes. I think -- I mean, just to reiterate that if we do not see value creation being satisfactory, we will do something. We are prepared to take a different path. That is very important to underline. And in the case of the U.K., for example, if we pass back the CFD, we would be prohibited from -- and for participated in the first coming auction round. But after that, we would need to -- we could reenter with that same capacity again. So other than that, it would be the project-specific breakaway cost that we would essentially have and that would vary project by project. But it's obviously something we clearly take into consideration. And also when we sign contracts, many of those will be made dependent on FID.
Dominic Nash: Do we have what the break fee for Hornsea 3 actually is all, please?
Mads Nipper: We can't share that specifically.
Dominic Nash: Okay, thank you.
Operator: Thank you, Dominic. The next question will be from the line of David Paz from Wolf Research. Please go ahead. Your line will be unmuted.
David Paz: Hello. Just a question on the U.S. So what is the overall status of the longer-dated projects in the Northeast and Mid-Atlantic clusters, including any discussions in New Jersey or elsewhere on sharing incremental IRA tax benefits?
Mads Nipper: Yes. Thank you. The I mean, to reiterate as what I hope is already known, I believe is already known is that our commitment profiles for these longer-dated projects sold or skip projects and Ocean Wind 2 are obviously much less than any of the existing, and we also still retain a good flexibility on the timing of the projects. So that puts us in a much more manageable position. And you're right. I mean, there's ongoing dialogue with in different states, including New Jersey. And we hope and believe there's a good chance that New Jersey might take inspiration from what has very recently happened in Maryland, where there's now an opportunity to apply for the full.
David Paz: Got it. And just when you say on a life cycle basis that the U.S. projects are value creative, are you assuming any of these incremental -- potential incremental tax benefits or any scale synergies from winning future U.S. projects? Or any other assumptions that go into that determination?
Daniel Lerup: Yes, we are assuming that, we are assuming the majority of the local content credit because we continue to believe that we are strongly positioned to be a beneficiary of that. That is something we have reason to believe is a fair assumption.
Mads Nipper: For the sake of clarity, we have not factored in anything on the energy community credit, which was one of the previous questions.
David Paz: Okay, thank you.
Operator: Thank you David. The next question will be from the line of Louis Boujard from ODDO BHF. Please go ahead. Your line will be unmuted.
Louis Boujard: Yes, good afternoon. Thank you for taking my question. My question would be more related to the open door system in Denmark for the timing, I think you are still in a pending on this topic. Could you enlighten us in what is at stake and where eventually you could have more granularity on this topic? And if it could come back relatively in the short term since I think that some projects have been awarded and have been confirmed recently.
Mads Nipper: Happy to comment on that. We actually had the purpose of being with the Danish government very recently at what was called the [indiscernible] green meeting where Denmark also announced the 9 gigawatts solicitation. And our prime minister even publicly said that they were optimistic to find a way where the open door projects that were paused a few months ago due to EU competition concerns that they were optimistic that at least for part of those, that there could -- a solution could be found where some of them could be made into reality. And since the projects that we have with together with CIP are amongst the -- I mean we in principle have some that are both on the West Coast and in the Baltic Sea of Denmark. And that means that we believe there is a good chance that one or more of those could be restarted in the not-too-distant future. We don't have a specific time line though.
Louis Boujard: Thank you Mads.
Operator: Thank you Louis. The next question will be from the line of Klaus Kehl from Nykredit. Please go ahead. Your line will be unmuted.
Klaus Kehl: Hello, kind of a household question. Could you talk a little bit about what's going on below the EBITDA line? And what I'm thinking about is that we are seeing very high mid financials here in Q1 and at the same time, a very low tax rate. And if possible in this content, just give us any kind of input or what would be a reasonable tax rate for the full year now? That would be my question. Thank you.
Daniel Lerup: Yes. So that's correct. We've seen the net interest expense go up. The main driver for that is actually due to FX adjustments between liquidity we have in pounds and USD in our subsidiaries. It's not something that will impact net debt, but it's due to different accounting treatment in the subsidiaries and on the group level. And then we, of course, also see higher interest expenses as rates are going up, and our debt is, of course, also increasing somewhat. But the main driver is the FX. On the tax side, it's a bit accounting technical, but the key effect here during the picture of it is that we, as you know, have bought back the 25% share of Ocean Wind 1 from PSEG, and that means that we will have to reverse the treatment of the deferred tax liability into the P&L. And then when you have a new tax equity partner stepping in, you will have a move in the opposite direction. But happy to set up a call to explain that to you in more details. But unfortunately, that's a little bit of a funny picture you see when you have these projects going in and out of tax equity partnership. When it comes to the tax rate, you should expect something that is fairly close to the statutory tax rate in some of our key markets being Denmark, Germany and the U.K.
Klaus Kehl: Okay. Thank you very much.
Operator: Thank you Klaus. [Operator Instructions] The next question will be a follow-up from the line of Kristian Johansen from SEB. Please go ahead. Your line will be unmuted.
Kristian Johansen: Yes, thank you for taking my follow-up. Just some clarification around your comments on Hornsea 3 projects where you elaborated on the reconfiguration. So as I recall it, and obviously correct me if that's wrong, the PPA in Poland, courseware constructed in a way. So it's not so much a guaranteed fixed PPA level, but actually rather sort of a guaranteed return you received to these projects, which as you then need to figure the project. So can you please elaborate a bit on how the PPA.
Mads Nipper: Kristian. No, it's actually not correct that that's a return guarantee. It is actually a CFD, which with a price level that is now fixed. And there were some regulatory levers that have been supported by the Polish government. But what is -- so there is no -- I mean, the project is one that has not quite as great wind conditions as Baltica 2. And therefore, even though we have often talked about Baltica 2 and 3 as just one project that are in reality two projects. And we found that Baltica 3 was not within a return level that -- with that CFD price that we feel comfortable with. So we are reconfiguring that project and also canceling supplier contracts for now to retender in order to get to an acceptable return level. So that is an example of us being prepared to take difficult decisions in order to defend the value creation that we want to go for.
Kristian Johansen: And does Baltica 2 and 3 have the same safety level? And have you disclosed exactly what the CFC level is?
Mads Nipper: Same. I don't know if we've disclosed that. I think it is -- I just hear that it is the 319.6 that is the CFD level.
Kristian Johansen: For both projects.
Mads Nipper: Correct. That's an important addition.
Operator: Thank you Kristian. The next question will be from the line of James Brand from Deutsche Bank. Please go ahead. Your line will be unmuted.
James Brand: Hi, good afternoon and taking my question. You mentioned in your remarks that the RFP for, I think, it was Massachusetts allowed companies to submit alternative index-linked bid proposals rather than just a fixed price. I was just wondering whether you could explain a little bit more how that works? Do you have prescribed areas where you can include index-linked kind of elements of the proposal? Or is it totally up to you? And is it clear how the proposals will be judged if everyone is doing their own thing. Thanks.
Daniel Lerup: Yes. Thank you for the question. So the RFP on Massachusetts has just come out. So we, of course, need to take a closer look at that in order to fully understand how it works in Massachusetts. But I think it's again, it's important to say that it's with an inflation indexation. And I assume that they are being inspired by what we've seen in Rhode Island and New York, where you have the possibility to bid in both with our nominal price and also a price where you get an inflation protection in the period from you, get the award until you COD, the wind farm. So basically, in the construction period, you get an inflation coverage for that impact during the CapEx phase. And then you get a top-up to the PPA, if inflation has outpaced the original assumptions.
James Brand: Okay, thanks very much.
Operator: Thank you, James. The next question will be from the line of [indiscernible] Group. Please go ahead. Your line will be unmuted.
Unidentified Participant: Hey guys. I basically want to ask a question in the two big issues that are affecting your industry that is cost of capital and the cost inflation. On the cost of capital, my question is that, I mean, do you expect any subsidies coming from both EU and the U.S. in order to lower this cost of capital, and on the cost inflation, I mean I was last week on the Indian mark. And a lot of parts, they were referring that actually day through design or through procurement, they are able to lower the cost going forward, why this with bigger size in terms of turbines or even the botnet picking some of the parts of the value chain. I mean, on your conversation with your suppliers, where do you see the road map of that levelized cost of energy on the offshore going forward?
Mads Nipper: Yes. Thank you very much. We don't think there will be targeted subsidies for cost of capital. But we are -- we remain very confident that both as we've seen in the U.S. with tax credits both ITC for offshore and PTC for hydrogen and for onshore that there will be an increase in realization and also political willingness to support specifically the acceleration of an industry. And that is something that is needed to kickstart industries. But at the same time, the more -- the even more important thing is that there's a willingness, especially in offshore with state and government country government auctions that there's a preparedness that the long-term power prices will need to go up at least some. You are absolutely right that we have dialogues with pretty much every one of our strategic suppliers and partners to say how can we contain inflation. Some of it is driven by input costs that come as a general sort of result of their sub-suppliers, but some of it is also a result of the bottlenecks that we currently see.  So what we are doing essentially because we are in a unique position to do that due to our size and the scope of things we need to do is to say, what can we do to enable further, for example, FIDs on vessels? How can we give long-term commitments through frame agreements that will enable them to also have more predictable costs. So we are doing that both on behalf of the industry, but for pretty much every one of our major CapEx groups, we are having those discussions. And I even at Wind Europe and last week, I personally met the CEOs of several of our top-tier suppliers to discuss exactly that topic. So we are confident that we will get on a journey where we can, again, get sort of scale benefits and the capacity to support a downward curve or downward trend on -- but due to the inflation level we have seen in cost of capital, it needs to go up before it can go down again.
Operator: Thank you. The next question will be a follow-up from line of Casper Blom from Danske Bank. Please go ahead. Your line will be unmuted.
Casper Blom: Just a follow-up to the previous discussion regarding a potential farm down in Taiwan. If and when that may happen, should we then think of something that would be similar to the first time we farm down, i.e., where you would first have to farm down Greater Changhua 4 and then later on could maybe do something on the combination of 2A and 2B. Just sort of if you could talk a little bit about that mix of these three projects with kind of group in two. Thanks.
Daniel Lerup: Yes, that is correct. So the main focus to begin with is on Changhua 4 and then the remaining afterwards.
Casper Blom: Very clear. Thanks Daniel.
Operator: Thank you, Casper. The next question will be a follow-up from the line of Deepa Venkateswaran from Bernstein. Please go ahead. Your line will be unmuted.
Deepa Venkateswaran: Hi. Thanks or taking my follow-up question. I wanted to ask about the U.S. projects. When would you be expecting to take FID? Is it the clarifications from the treasury and the discussions and what is the timing? And I just wanted to get a sense that by the CMD, do you think you may have taken some FIDs or longer on see, these FIDs and therefore, any score for impairments or otherwise are still open by the time we get to the CMD.
Mads Nipper: Thank you, Deepa. It is I mean, we will definitely need to see the treasury guidance on the domestic content credit before we can take FID. We cannot say whether that will be fully enough to take those FIDs because again, we need to assess the totality of the project in order for those to be sort of defensible investments. But we will definitely need that and including the clarity on the energy community feasibility for any of our projects. But there could be other things such as upcoming sort of discussions or regulatory clarification, for example, on allowing full pass back of the benefits that we might want to await. So not possible to say whether we'll be able to do that by the CMD, unfortunately.
Deepa Venkateswaran: Okay. And would you know about Rhode Island and the New York solicitation assembly or even that's not clear.
Mads Nipper: We would hope to, but the indication is June and since the CMD is on June 8, it's probably not the most likely scenario.
Deepa Venkateswaran: Okay, thank you.
Operator: Thank you Deepa. The next question will be a follow-up from the line of Lars Heindorff from Nordea. Please go ahead. Your line will be unmuted.
Lars Heindorff: Thank you. Now there's been a lot of questions about the return and the balance between the higher cost and CapEx and so forth in this call here. So maybe I don't, again, want to preempt your Capital Market Day on 8th June, but I don't know if you can share with the thoughts on your longer-term EBITDA targets. If I recall correctly, it's around about EUR 35 billion to EUR 40 billion by 27 million. I mean are you able to reach that with lower growth, i.e., growth below the 3 gigabits that you mentioned that you can add on a yearly basis? Or I mean power prices are still higher compared to prepandemic levels. So maybe a bit of thoughts and light on those, on the balance between the target and if you could start with lower growth.
Daniel Lerup: Yes. So again, I'm not going to give specific targets here because we will, of course, do that at the Capital Markets Day. But you are right, we are looking into a higher growth than what we originally anticipated when you had the CMD back in 2021. And we also mentioned that in connection with Q4 that we are seeing the EBITDA CAGR going above the roughly 12% that we've indicated. And we also see our ROCE well ahead the 11% to 12% for the same period towards 2027. And we will also be able to reach that even though we don't get roughly 3 gigawatt a year, which is, of course, not the expectation. But things we win in the coming years will most likely be in the period post 2027. So we have a fairly high certainty on the growth and return towards 2027.
Lars Heindorff: Thank you.
Operator: Thank you Lars. The next question will be a follow-up from the line of Sam Arie from UBS. Please go ahead. Your line will be unmuted.
Samuel Arie: Hi again everyone. I wanted to just come back on, I guess, I'm sort of probably quite near the end of the question queue here. But with a topic that's come up since we last spoke to you, and I should say, is actually clearly not also specific topic, but one that you might need to go ahead around in the industry. But there has been this piece of research that suggested vessels were identified in the Nord Stream mapping out the location of the water pipes and cables, including IP offshore wind full transmission connection. And I just wondered if you could talk to us a little bit about this issue, it must be one that you put a bit of time thinking about. I know that in the U.K., the transmission connection doesn't necessarily belong to you up to the commission. But if there were to be any kind of incident on a transmission cable like the Nord Stream incidents that we saw last year, never mind you did it. But if there was nothing like that and you couldn't get power out from the wind farm back onshore, where would that leave you? What's the situation? Are you, who's liable, can you get insurance? Are all insurance is excluded for that kind of event? It's obviously hopefully a very low probability scenario. I'm talking about, but there's a big story in the news, and it would be great to hear what you guys think about that and how we should understand the risks.
Mads Nipper: We can give some -- just give an overall comment on that, Sam, is that it's very important to say that that the offshore wind farms are within sort of territorial waters, which is a totally different thing than what happened with, for example, with Nord Stream 2. And we protecting those is a matter of national security. And if an attack would happen on any of that, it would essentially be attack on entire country. So we fully agree that, that would be a very low likelihood. We are working closely with the relevant national authorities in all areas where we operate. And we are working with them to ensure that all necessary measures are taken. We can't comment specifically on what are the ifs and buts if something God forbid should happen.
Samuel Arie: Okay. I know it's a really difficult topic. Since you gave me a very short answer, can I just squeeze in a quick clarification on an answer you gave to an earlier question. I'll make it very fast. But you mentioned that if you walk away from Hornsea 3, you might be banned from participating in the next auction. But I think you also said you're not participating in the next U.K. auction anyway. So would that mean there's no real consequence for you? Or would you be banned from participating in the next one after this as well?
Mads Nipper: As a matter of fact, I would be unsure whether now since the AR5 has been kicked off, whether we would also be banned from AR6 but that would be since the U.K. has very frequent solicitations, we would this would not -- still not be something that would be holding us back from a decision to walk away if we didn't find the satisfactory value creation.
Samuel Arie: Doesn't sound like very negative consequence. Okay. Thank you very much. Thanks for letting me squeeze the extra question in.
Operator: Thank you, Sam. [Operator Instructions] The next question will be a follow-up from the line of Dominic Nash from Barclays. Please go ahead. Your line will be unmuted.
Dominic Nash: Thanks for taking my second question. This one is actually on Hornsea 2 rather than Hornsea 3. Could you just give us what an update is on your contractual position with the CFDs or merchant? And I understand, I think in 2022, you pushed back CFDs, but you had hedged your power. And as you go to 2023, I think you're now pushing back the CFD is another year, and I think you could potentially push it back another year after that as well. And I was wondering curious as to why you're not starting your sort of your CFD on what is currently being commissioned? Or are you going to just hold back the whole way or you taking advantage of the higher power prices? Or are you -- or do you think you should be doing CFDs or do you think you should be doing merchant on Hornsea 2? Thank you.
Daniel Lerup: Yes. We have decided to use the flexibility that we have within our CFD contract to push the CFD on Hornsea 2 one more year. And you are right that we potentially have the flexibility to push it one additional year again.
Dominic Nash: And is there a market decision to get higher revenues? Or is that -- is that a commercial decision? Or is that like a regulatory decision as to why is starting to push it back?
Daniel Lerup: Well, that is a commercial decision based on optimizing the value of Hornsea 2.
Dominic Nash: Okay, thank you.
Operator: Thank you, Dominic. As there are no more questions, I will hand it back to the speakers for any closing remarks.
Mads Nipper: Yes. Thank you very much to all of you for joining. And as always, appreciate the great questions. If you have any further questions, don't ever hesitate to reach out to our IR team there here just to answer them. And I hope to see you all in London on June 8 for our Capital Markets Day. So thank you very much. Stay safe, and have a great day.